Operator: Good day, and welcome to the CorEnergy First Quarter 2023 Earnings Conference Call. [Operator Instructions]. I would now like to turn the call over to Matt Kreps. Please go ahead.
Matt Kreps: Thank you, Kelly, and thank you, everyone, for joining today's CorEnergy Infrastructure Trust Conference Call.  With me today are Dave Schulte, CEO and Chairman; Robert Waldron, President and CFO; and Chris Huffman, Chief Accounting Officer. Robert and Chris will provide updates on our business operations and results, and all three will be available for Q&A.  Earlier this morning, we published a press release announcing the first quarter results for 2023. We expect to file our Form 10-Q later today.  I'd like to remind everyone that the statements made during the course of this presentation that are not purely historical may be forward-looking statements and subject to the safe harbor protection available under the applicable securities laws. Important factors that could cause actual results to differ materially from those in the forward-looking statements are discussed in our filings with the SEC. These documents are available on the Investor Relations section of our website. We do not update our forward-looking statements.  During this call, we will also make reference to certain non-GAAP metrics, which are reconciled in our filings as part of our results reporting. We encourage all of you to review our complete disclosures, risk factors, GAAP financial numbers and those non-GAAP metrics with related reconciliations.  And with that, I would like to now turn the call over to Robert Waldron. Please go ahead.
Robert Waldron: Good morning, everyone. It's been an eventful couple of months since our last earnings call, and I am pleased to report that we are implementing favorable long-term solutions to the near-term challenges we have discussed.  Our team has been diligently working on a number of initiatives, including streamlining our executive team, reducing our corporate cost structure, initiating an asset divestiture program and working to deleverage our balance sheet. The benefits of these actions will become more visible as we move further into 2023.  Starting with an overview -- a few overview comments of our recently completed first quarter. We continued the steady performance of our predictable MoGas and Omega natural gas operations that serve St. Louis and surrounding areas. However, due to the process underway, these entities are now reflected as assets held for sale on our balance sheet. We expect to update our progress on that divestiture when appropriate.  Turning to our Crimson assets. As anticipated, volumes decreased to lower levels compared to Q3 and Q4 2022 due to the restart of a third-party pipeline system that had been down since July 2022. Volumes appear to have stabilized at the reduced level previously anticipated. We believe this lower volume level will continue indefinitely.  Furthermore, we are seeing some expense pressures in the areas of labor, asset maintenance and electricity costs, which seem to be consistent with the rest of the industry. As a response to those changes in volumes and costs, Crimson filed for a 36% rate increase on its San Pablo pipeline and 107% rate increase on its KLM pipeline, both based on their regulated cost of service. Both filings were protested by shippers and will proceed through the CPUC process with resolution expected in 2025.  We are always open to negotiating with our shippers to find a resolution acceptable to all parties and may lead to an earlier resolution. While the California energy market has been more challenging and volatile than we have ever experienced or planned, our Crimson pipelines remain a critical link in the state's energy infrastructure, operating under fixed tariffs for volumes transported, with long-term investment-grade customers.  Once the tariffs are properly aligned to current volumes and costs, we believe these assets will probably [indiscernible] critical energy needs in California for decades to come, both in the existing energy economy and in the emerging new energy economy.  We hold a strong belief that our Crimson assets have a significant and critical role to play in the energy transition in California, especially the new hydrogen and carbon capture and sequestration markets. Our Crimson system and rights-of-way provide a critical linkage between large carbon emission sources and prospective storage reservoirs, an asset we believe would be difficult or even impossible to replicate today. We are working with multiple parties to determine the best path forward in this new market opportunity.  The commercial case for CO2 capture remains better in California than in any other state. The California Air Resources Board has set aggressive climate goals of a 40% reduction in carbon emissions by 2030 and carbon neutrality by 2045, and identified CCS as a central pillar to their targets. Federal legislation has increased the carbon capture credit from $50 a ton to $85 a ton and to $185 a ton for direct air capture. In many cases, it's also possible to take advantage of the LCFS credit.  Finally, we published an updated ESG progress report with the filing of our 10-K for 2022. Some of the highlights include: Scope 1 and Scope 2 emissions have been reduced by 56% from the 2021 baseline. We have initiated a plan to reduce methane emissions by an estimated 65% by 2025. And we have implemented Board oversight of wide-ranging cybersecurity and ESG programs for our critical business systems.  With that, I'll turn it over to Chris to address the financials and other notable items.
Christopher Huffman: Thanks, Robert. Looking at the results, First quarter revenue was $29.3 million, reflecting steady performance from MoGas and Omega and lower performance from Crimson due to the impact to volumes following the competitor pipeline start-up in February 2023.  Given the process underway with MoGas and Omega, I will address Crimson results, then corporate and noteworthy balance sheet items. As expected and included in the company's previous 2023 outlook, California transported volumes were lower in Q1 due to volumes that reverted away from our San Pablo Bay pipeline system after a competitor pipeline returned to service in January of this year.  In order to address this dynamic, we previously announced and began collecting a series of tariff increases on our Crimson systems. We began collecting 10% tariff increases upon filing our new rates even for larger tariff increases. The requests are subject to shipper protests and refund if not found to be earned. The company will also begin collecting an additional 10% increase on the anniversary date of the original filings until the matters are resolved.  In Q1 2023, in anticipation of lower revenue, we acted to realign our corporate structure, reduced corporate G&A, reduced 2022 incentive bonus payouts and senior management took a 10% salary reduction. The impact of all of these actions are included in both our 2023 outlook and rate case filings.  The management realignment, which reduced the layers of management and streamlined the organization, resulted in a $1.7 million restructuring charge in the first quarter. The company expects the restructuring and other completed cost savings initiatives to reduce Crimson costs by approximately $2.5 million on an annualized basis. Final inflation and new asset maintenance policies implemented by the state have increased costs.  We believe Crimson's cost of service fully justifies all requested increases and will defend our costs inside the formal CPU process. Importantly, we believe that these proposed tariff rates and other changes we are undertaking will return core to appropriate profit levels analogous to any other regulated utility, generating free cash flow that can be used to pay reasonable returns to our capital partners, both debt and equity.  For the three months ended March 31, we had adjusted EBITDA of $7.8 million and adjusted net loss of $1 million. The Board evaluated these results and agreed with management's recommendation to continue the suspension of dividends on both our Series A preferred and common equity.  As a reminder, CorEnergy's 7.375 Series A cumulative redeemable preferred stock will accrue dividends during any period in which dividends are not paid. Any accrued Series A cumulative redeemable preferred dividends must be paid prior to the company resuming common dividend payments. Although no cash payments were made on the preferred stock, the company has included the effects of the cumulative unpaid dividends in the financial statements.  The Board will continue to evaluate dividend each quarter, making a decision on dividend payments based upon the most current data available. It is our goal to successfully bring the business through this difficult period and resume dividend payments as soon as practical.  Regarding the first quarter balance sheet, please note the company's MoGas and Omega assets and liabilities are classified into one line as held for sale on the balance sheet, but the income statement includes those operating results. More information can be found in the footnote of the company's 10-Q to be filed later today.  Additionally, our PLA inventory position was higher than normal at the end of the first quarter, but we subsequently sold 81,000 barrels during April, which generated $6.3 million in proceeds during the second quarter. We would not expect to carry inventory at the level as a matter of normal practice.  Also, in February 2023, we amended our credit facility to extend the maturity to May 2024 as well as deferring the step down in certain covenant ratios from Q1 2023 to Q3 2023. This will provide us additional time to manage our near-term debt maturities and pursue previously announced asset monetization and leverage reduction initiatives.  Regarding our outlook, which includes the results of MoGas and Omega, we are maintaining our full year 2023 adjusted EBITDA range of $33 million to $35 million, inclusive of maintenance expense in the range of $9 million to $10 million. Maintenance capital expenditures are expected to be in the range of $10 million to $11 million. These costs are not expected to be uniform throughout the year due to project timing.  At this time, we will take questions from our covering analysts or institutional stockholders before closing the call. Thank you.
Operator: [Operator Instructions]. Your first question is coming from Selman Akyol with Stifel.
Selman Akyol: A couple of questions that, I guess, are intertwined. So you took the $1.7 million charge this quarter, and then you're going to get $2.5 million in savings from that. When should we start to expect to see that roll through? And then I guess, on the G&A line, it was up sequentially from Q4. And so was there anything in there, I guess, maybe related to the sale process that would be taking it up?
Robert Waldron: I'll take the first part of that, and Chris, you can take the second part on the G&A. So the impact of the restructuring charges will really roll out throughout 2023. So the accounting for it happens in Q1, but the impact will spread -- the savings impact of $2.5 million will spread throughout. So I think it's a little bit later in the year, you'll start seeing full run rate impact of that.
Selman Akyol: Okay. And will we mainly see that in the G&A line? Or will it be in the operations line or a combination thereof?
Robert Waldron: It will be both. It will be spread. I don't know the exact split between OpEx, G&A, but it will be in both areas.
Selman Akyol: Got it.
Christopher Huffman: We have -- as we'll disclose later in the queue today, we have about $850,000 of that $1.7 million is actually included in the G&A line. There's some additional components, including in transportation distribution expense as well for the remainder.  And you'll see some more information on -- later when we disclose that. But on a go-forward basis, we think about $1 million of the annualized amount should be coming into kind of G&A, and then another $1 million or so in transportation distribution expense.
Selman Akyol: And then I know it's limited in terms of what you can say on the sale process, but I guess, is it going according to expectations and you're getting a number of interested parties? Could you comment on that at all?
David Schulte: Selman, we do say in the Q that we'll file later today, we basically repeat the prior announcement of process initiation and expected timing later in Q3 of announcement. So we don't have any reason to change what we said before. But we -- as you say, we're not going to comment specifically on any -- on the transaction status.
Operator: Your next question is coming from Chris Cook with Zazove.
Christopher Cook: Question has been asked and answered.
Operator: Your next question is coming from Garrett Fellows with J.H. Lane Partners.
Garrett Fellows: Two from me. One, being you have mentioned the potential for sales of real estate previously. Could you just help us think about the kind of size of those sales? And how much you might receive there?
Robert Waldron: Yes, I can take that. We haven't really disclosed how big those are. We do own some -- these are primarily -- most of the surface area that we own is around our pump stations and things like that. So it's typically in the acres -- a few acres.  We do have some larger areas up in the San Joaquin Valley. But depending on -- obviously, the value of the land up in San Joaquin Valley is a little different than some of the land we own in California. But we're really working through that. We don't have anything currently to disclose on that, but we still think that's a viable option to get something done, although it does take some time to actually realize cash from those sales.
Garrett Fellows: Okay. And then next, if you guys had -- let's say, hypothetically, you had received the kind of rate you think you deserve on the Crimson pipeline, kind of what would earnings look like if you guys were getting the rates that you think you deserve?
Robert Waldron: So the way I'd answer that is kind of what we've said before is if we earn our cost of service, and with the successful sale of MoGas and we earn our cost of service, the company should be able to satisfy the different pieces of the capital structure, the -- whatever debt is remaining on the company, preferred and common equity. So being able to pay a dividend on those is where we think the company would be with Crimson earning their cost of service on all their systems.
Operator: There appear to be no further questions in queue at this time. I would now like to turn the floor back over to Robert Waldron for any closing remarks.
Robert Waldron: Thank you all for joining us today. We are moving forward to resolve these short-term challenges, and we'll provide updates as appropriate.  I want to thank our team for their hard work and dedication to this success. Please contact our IR team if you would like to arrange a meeting time. Have a great day.
Operator: Thank you. This does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.